Paul Jayson Ramos: Hello. Hi, good afternoon, everybody. Thank you for coming. Good afternoon, investors, analysts, fund managers and key stakeholders. Welcome to Meralco's third quarter/nine months results briefing. I am PJ Ramos from the Investor Relations office, and I will be moderating today's briefing here in the Meralco office building. We also warmly welcome our guest analysts and investors who are joining us in person as well as those participating online for MS Teams conference facility. Before we proceed, please be advised that this session is being recorded. Kindly adhere to the ground rules, which were sent to you prior to this meeting. Before we proceed, please be advised that this session is being recorded. Today, we will present the financial and operating results of Meralco for the nine months of 2025, and then September. A copy of the presentation may be downloaded from our website at www.meralco.com.ph under the Investor Relations section. We are joined by members of Meralco senior management team. Presenting will be Mr. Ronnie Aperocho, Executive Vice President and Chief Operating Officer; Ms. Betty Siy-Yap, SVP and Chief Finance Officer; Mr. Emmanuel Rubio, President and CEO of Meralco PowerGen; Mr. Ferdinand Geluz, Senior Vice President, Chief Revenue Officer in OIC Subsidiary Businesses; Attorney William Pamintuan, SVP, Chief Legal Counsel and Head of Legal and Corporate Governance Office; Mr. Froilan Savet, First Vice President and Head of Networks; Attorney Jose Ronald Valles, SVP, Head of Regulatory Affairs and Head of DU Regulatory Management; Mr. Raymond Ravelo, Chief Sustainability Officer. And I also would like to recognize our Deputy Chief HR Officer, Mr. Hans Montenegro. Today's agenda will begin with the financial highlights, followed by the operating results of Meralco's distribution utility business, updates from regulatory, MGen and sustainability. We will open the floor for a Q&A session before concluding the presentation with remarks from our Chairman. At this point, I would like to introduce our Chief Financial Officer, Ms. Betty Siy-Yap, who will present the financial results.
Betty Siy-Yap: Okay. So up in your screen is a summary for the nine months of 2025. Our strong results for the year to date ended September 30, 2025, were driven by robust performance of the power generation business and steady performance of the core distribution business. Following are the highlights. In the nine months ended September 30, 2025, the DU business continued to account for the largest share of our PHP 40 billion consolidated core net income at 55% or PHP 21.9 billion, up 8%. Contribution of Power Generation grew to PHP 14.7 billion, 63% higher versus last year and now at 37% of CCNI, while RES and the other nonelectric businesses brought the combined PHP 3.4 billion or 8% of CCNI. On the Power Generation results, MGen's thermal plants continue to play a critical role in ensuring grid reliability with 128.9 megawatt capacity allocated to regulating and contingency reserves support. The LNG business contributed PHP 10.9 billion as Chromite Gas and PacificLight delivered a total of 8,467-gigawatt hours and 4,290-gigawatt hours, respectively. MGreen delivered 557-gigawatt hours, 15% higher with the contribution of the newly operational solar plants and more than 98% average plant availability. Dividends from unconsolidated investees totaled PHP 7.2 billion, of which PHP 4.5 billion came from PacificLight and PHP 1.6 billion from San Buenaventura. Following on your screen would be the financial summary. Our CCNI for the first nine months of the year increased by 14% to PHP 40 billion from PHP 35.1 billion in 2024. Consolidated reported net income increased by 9% to PHP 36.8 billion from PHP 33.8 billion last year. The gap between CCNI and reported net income represents accretion of day one gain adjustment, foreign exchange loss and gain on sale of various assets by MGen. Similar to our CCNI, our core EBITDA rose 14% to PHP 67.2 billion from PHP 59 billion. Consolidated revenues increased by 5% to PHP 371.8 billion from PHP 355.4 billion in 2024, mainly due to increase in pass-through generation and transmission charges, higher revenues from MGen, the reserve market, and higher volume of the retail electricity sales business. Costs and expenses increased by 4% to PHP 332.3 billion, the bulk of which is still purchased power costs, which accounted for 85% of total costs and expenses. Capital expenditures totaled PHP 78.8 billion, largely for the development of the solar power plants and distribution network improvement projects. Cash and cash equivalents amounted to PHP 88.2 billion, while consolidated debt stood at PHP 213.4 billion. Okay. So this slide shows our segment business or segment results. The charts on the right shows the contribution of each of the segments to our CCNI revenues and core EBITDA. The CCNI contribution of our regulated distribution business was from consolidated energy sales volume of Meralco, Clark Electric, Shin Clark Power Corporation, all 40,719-gigawatt hours. Note that while CCNI contribution of DU declined to 55% in the overall share, CCNI contribution in terms of best amount increased by 8% to PHP 21.9 billion versus PHP 20.3 billion last year. For our unregulated businesses, the higher CCNI in terms of peso amount came from the growing power generation business with its share now at 37% from 26% a year ago. This is equivalent to PHP 14.7 billion of the CCNI owing to its LNG investments and higher revenues from participation in the reserve market. The retail electricity supply business and nonelectric businesses meanwhile, brought a combined PHP 3.4 billion or 8% with combined energy delivered by the RES business of 5,524-gigawatt hours as of the end of September. New revenues accounted for 83% of the total RES and non-power subsidiaries and affiliates accounted for 11%, while power generation at 6%. DU contribution to consolidated core EBITDA amounted to PHP 39.4 billion, up 15% versus last year and accounted for 59% of the total. Power generation was at PHP 22.6 billion, up 40% and comprised 33% of total, while RES and other nonpower subsidiaries and affiliates accounted for the remaining PHP 5.3 billion of the consolidated amount. This chart shows our system-wide power sales volume, which is a 50,880 gigawatt hours, slightly higher than the 50,641 gigawatt hours last year. DU volume including sales of [ BELCO 2 ], which we manage and operate under an investment management agreement was at 41,538 gigawatt hours, including 4,482 gigawatt hours sold by our RES units within the Meralco franchise area. RES volume was at 5,524-gigawatt hours with 4,482 gigawatt hours sold within 1,042 gigawatt hours sold outside our franchise area. MGen volume was at 20,226-gigawatt hours with 15,936 gigawatt hours sold within the Philippines, of which 11,746 gigawatt hours were sold to Meralco Group DUs and RES. On your screen would be our revenues. Electric revenues of PHP 362.2 billion accounted for 97% of the consolidated revenues of PHP 371.8 billion. Generation, transmission and other pass-through charges were 6% higher at PHP 288.4 billion due to the higher fuel cost of power plants using LNG and the Malampaya natural gas, which comprise about 55% of our total supply mix. Transmission charge also went up due to the higher service charges from the additional capacity sourced by the National Grid Corporation of the Philippines under its new ancillary services procurement agreements and capacities from the reserve market. Distribution revenue decreased to PHP 53.9 billion with the implementation of the regulatory reset fee adjustments starting February 2025. Energy fee, which totaled PHP 19.8 billion increased by 7% from PHP 18.5 billion to PHP 19.8 billion with higher revenues from the reserve market. This report partially offset by the lower fuel costs charged to customers with a decline in fuel price and decrease in WESM sales in Panay. Non-power subsidiaries revenues were flattish. Asset decrease due to the deconsolidation of MIDC at the end of September 2024 was offset by MIESCOR's higher revenues from its EPC and telecoms project and Bayad a higher transaction volume. Costs and expenses totaled PHP 332.3 billion. Purchase power costs accounted for 85%, OpEx represents 10%, depreciation 4% and combined coal and fuel and power plant O&M accounted for 2% of the total. Purchase power costs increased by 7% to PHP 281.6 billion from PHP 262 billion, consistent with the movement in pass-through revenues. OpEx increased by 13%, with PHP 32.5 billion, primarily driven by expenses for repairs and maintenance of distribution facilities, upkeep of various IT-related equipment and software, cloud and online subscriptions. Also, MGen continues to strengthen its workforce to support its growing portfolio of operating power plants and new projects contributing to the rise in salary-related expenses. Depreciation and amortization were lower by 5% due to deconsolidation of MIDC at the end of September 2024. Combined coal and fuel and power plant O&M amounted to PHP 8.3 billion, 23% lower with the decrease in maintenance cost and fuel and coal prices. With respect to our capital expenditures, this totaled PHP 78.8 billion as of the end of September 2025, of this amount, 75% or PHP 58.8 billion were utilized for the development of Terra Solar, Greentech Solar power projects. The DU accounted for PHP 20 billion of which PHP 17 billion was spent for new connections, asset renewals and load growth as well as pole relocation. For power generation, it continued its upward trajectory, posting a 63% increase in CCNI contribution for the nine-month period. This was fueled by earnings from LNG investments which are both Chromite and PacificLight. This -- as well as strong revenue gains from the participation in reserve market. With a diversified portfolio across the Philippines and Singapore, MGen reached a net salable capacity of 5,079-megawatts year-to-date and delivered a total of 20,226 gigawatt hours of energy, a 75% improvement compared with the same period last year. The LNG business contributed PHP 11 billion to MGen CCNI as Chromite Gas and Singapore-based PacificLight delivered a total of 8,467-gigawatt hours and 4,290 gigawatt hours, respectively. I note that with respect to PacificLight, the 100-megawatt fast card unit also began to deliver power on May 16, 2025. Meanwhile, the thermal plants contributed PHP 5.4 billion to MGen's core net income from PHP 2 billion a year ago due to higher revenues from the reserve market and increased energy output. MGen renewables delivered 557-gigawatt hours, 15% more than a year ago. Our consolidated interest-bearing debt stood at PHP 213.4 billion, including PHP 98.1 billion of debt of our subsidiaries. As of end of September, net debt stood at PHP 123.7 billion with net debt to EBITDA of 1.5x. Debt maturities are well spread through 2040. All of Meralco's consolidated debt are in Philippine pesos. Cash and cash equivalents amounted to PHP 88.2 billion, of which are short-term and long-term investments, total PHP 6.4 billion. Our core EPS stood at PHP 35.509 a share, up 14% versus PHP 31.138 a share last year, while our reported EPS was PHP 32.67 a share, up 9% compared to last year. And that ends my report.
Paul Jayson Ramos: Thank you, Ms. Betty. We will now move on to the operating results presentation to be led by our Executive Vice President and Chief Operating Officer, Mr. Ronnie Aperocho, followed by the heads of our different business segments.
Ronnie Aperocho: Thank you, PJ. Good afternoon, and thank you for joining us today. We are very pleased to present Meralco's operational performance report, highlighting our headline numbers for the nine months that ended September 2025. Starting with energy sales. Our energy sales slightly dropped by 0.4% at 40,719 gigawatt hours with a cooler weather compared with a hotter than normal temperatures last year, driven by the El Nino as well as the 1-day difference versus 2024 mid-year. In addition, our energy sales growth was tempered by the elevated vacancies in office and condo spaces from POGO exit, along with a muted demand during pipeline-related work and glass suspensions, which increased this year. Similarly, the DU next system input, or NSI, was 42,199 gigawatt hours, posting a marginal decline of 0.7% compared with the same period in 2024. Meralco's year-to-date peak demand reached 9.13 gigawatts recorded last April 23 this year, 2% lower than last year's 9.32 gigawatts. The drop can be attributed to last year's unprecedented power demand surge, which normalized this year. Our customer count is growing by 2.4% to reach 8.178 million customers by end of September. On the service performance of the DU, the 12-month moving average system loss for September was 5.7% from 8%, a notable 0.26 percentage point improvement over the same period last year as a result of our intensified system loss reduction initiatives and a higher share of low loss to serve commercial and industrial customers in the sales mix. In terms of the system reliability, we recorded significant improvements for our performance indicators, SAIFI and SAIDI, translating to shorter and fewer power interruptions. Our total SAIFI was better by 9.6% at 0.762x, while our SAIDI likewise improved by 8.3% at 80.576 minutes. We are on track to meet our year-end target of 1 SAIFI and 100 SAIDI, underscoring Meralco's commitment to deliver world-class electric service to its customers. The year-to-date average time to connect customers also grew by 3.4% at 1.41 days over 1.46 days last year, translating to better customer experience with faster energization of service applications. And lastly, our average electricity retail rate was PHP 11.63 per kilowatt hour, 11.3% higher versus the same reporting period last year, primarily due to the following. First, it was due to higher generation charge, 13.9% increase, mainly from higher Malampaya natural gas prices due to the implementation of new gas sale purchase agreement or GSPA of first gas plants. Recovery of previously deferred charges for first gas plants and depreciation of peso and finally -- and it was due also to the increased transmission charges, the 30.8% increase from higher ancillary services costs. Thank you. And I'm turning you over to Ferdi Geluz for the customer report.
Ferdinand Geluz: Thank you, Ronnie, and again, good afternoon. So I think Ronnie already mentioned that our nine months sales of 4,719 gigawatt hours is slightly below last year, 0.4% negative or minus 153 gigawatt hours, mainly attributable to cooler temperature and the impact of the typhoons as well as vacancies brought about by the POGO exit. So this decline is despite the robust energization efforts as we now serve 8.18 million customers. So this is actually 194,000 more customers compared to the same period last year. Well, residential and commercial segments declined as organic sales offset new energizations, while industrial sustain the modest growth and sustained a modest -- positive momentum, light uptick from both organic sales as well as new energization. So well to give you an idea. Our newly energized customers actually contributed close to 2% additional sales of 772 gigawatt hours only to be offset by the decline of 2.3% or around 940 gigawatt hours for same-store sales as well as terminations brought about by the POGO vacancy. So this netted out a negative 0.4% decline. And Ronnie mentioned the typhoons. To date, the impact of the typhoon already reached more than 250 gigawatt hours versus the 110 gigawatt hours from a same period than last year. And in terms of government and class suspensions, to date we're registering 25 days of suspension of government and classes. Well, the government is 8 days versus 2 days classes, 7 given days versus 14 days last year. So it was an incremental of 9 days. So on a quarter-on-quarter basis, while we grew 1.5% in quarter 1, we're actually in negative 0.3% quarter 2, and a negative 2% quarter 3, with a worsening of weather conditions. So residential incurred both of the impact with year-to-date decrease of 1.6% or minus 238 gigawatt hours. So broken down due to organic decline of more than 500 gigawatt hours but slightly offset by the 390 gigawatt hours or around 2% brought about by the newly energized services. So accounts with zero consumption from -- mostly from condos in Metro Manila are up 15%, so more than -- up 20% -- 20,000 more vacant condominiums given the residual impact of the POGO exit. So this is mostly in the Pasay-Paranaque area. So in terms of decline, Metro Manila burst brunt of the decline at minus 3%, Laguna minus 1%. While there was a slight increase in Bulacan 1% and Cavite by 0.3%. For residential, quarter-on-quarter, it grew 3% quarter one, negative 1% quarter 2, and a minus 6% quarter 3. Commercial also felt the impact of the weather as well as POGO exit and office vacancies as well as the slowdown in forest tourist arrivals. So -- but the dip is actually just 0.2% or minus 32 gigawatt hours in the first nine months. As the decline in organic sales of minus 400 gigawatt hours is offset by the 300 -- almost 380-gigawatt hours or 2.5% increase from since brought about by newly energize services. So real estate brunt of the negative. Decline at minus 2.4% due to low office occupancy, while hotels also declined by minus 2%, affected by the downturn of foreign tourist arrivals, mainly Chinese and Korean tourists. And I guess this is a residual impact the POGO exit. Well, retail trade partially offset those declines, cities up 1.5% as well as restaurants are up 4.2% with sustained increase driven by ramp-up and expansion in malls for market and convenience stores and quick service restaurants and cafes. Quarter-on-quarter, the same story, commercial is actually up 1.5% quarter 1 and with a worsening weather, down 0.6% quarter 2, and 1.1% down quarter 3. Industrial meantime, posted a modest growth of 1% at plus 170 gigawatt hours on that of steady upswings in semiconductor, steel, cement and construction materials, which offset the declines in food and beverage and generator wheeling. Well, organic sales is slightly up at 15 gigawatt hours or still 0.14% and new energizations bought about plus 5 gigawatts or 0.8%, which actually contributed to the more than 100 gigawatt hours improvement. So semiconductors actually improved 2%, still up back on the strong demand of storage devices and microchips, still up 5.4%, boosted by continuous -- contingent smelting activities and cement and construction materials, up 4.5%, lifted by Solid Cements in new production line. In terms of quarter-on-quarter performance, well, it's an improvement quarter-on-quarter story for industrial is actually flattish at plus 0.2% quarter 1, up 1% quarter 2, and up 2% quarter 3. So that ends my report, and I now turn you over to Froilan for the networks report.
Froilan Savet: Thank you, Mr. Geluz. Good afternoon, everyone. For networks, project updates, last quarter, we energized 3 electric capital projects, one capacity addition, and two reliability improvement projects. On July 27, we completed the project operating of 115 kV circuit breakers at Gartner substation. This project involves the installation of 14 units of circuit breaker and the associated disconnector. The project will provide sufficient capacity to accommodate, will be increased in safety issues due to the expansion of Meralco subtransmission system in the area, as well as a complete future connection of embedded generators in the cities of Muntinlupa, Taguig and Paranaque. On August 19, we installed the third 300 MVA power transformer at Calamba, 230 kV delivery point of substation. This will strengthen our system reliability, improve load distribution and support the growing demand in the areas of Batangas province and Laguna province, particularly the industrial estates in the area. And last one, on September 25, we completed the project reliability improvement of Binangonan substation. The project will strengthen system reliability, improve load distribution and support the growing demand in Rizal province. Among the major beneficiaries are the Thunderbird Resort and Casino, Rizal Provincial Hospital, Binangonan Hall of Justice, Binangonan municipal hall, Rizal Doctors Hospital and Medical Center, Talim Island and The University of Rizal System. That's all for the network project update. Here is Attorney Valles for the regulatory report.
Jose Ronald Valles: Good afternoon. So for the regulatory update. Last October 16, there was an open commission meeting by the ERC, where the commission adopted the following actions in relation to the reuse/reset process. First, it approved the rationalized routes for setting distribution billing rates were privately owned DUs under PBR. It also approved the issuance of a resolution directing all privately used to file their respective AWAT applications for the lapsed period. And it adopted a trending method as a New Valuation Methodology for the regulatory asset base of Meralco's unbundling applications in compliance with the Supreme Court decision in NASECORE versus ERC. So shown on the table in your screen is a summary of the distribution rate true-up that we have already refunded to the consumers, DRTU-1, 2, 3 and 4 covers the 7-year lap -- original lapsed period with a total refund of around PHP 40.5 billion. And then this was followed by AWAT-1, which covers July 2022 to December 2024, and the amount approved by the commission for refund was PHP 19.96 billion, and we are already refunding around -- we have already refunded around PHP 3.33 billion. We have filed the AWAT-2, covering the period January 2025 to June 2025 for a period of six months for a total refund of PHP 4.69 billion, but we have yet to receive the action of the commission on this recent filing. And the last AWAT that we are going to file pursuant to the rules of the ERC, will cover the period July 2025 to June 2026. And since we haven't -- the period has not started yet, we cannot calculate the exact amount of the refund. Next slide, please. So under the rationalized rules for setting distribution wheeling rates, although the ERC has not released the official resolution or the rules today, based on the open commission meeting, the highlights of the RRDWR are as follows: it's decouples the issues on the lapsed period, enabling all privately used to have a fresh start to proceed with a rationalized and streamlined process. So the commission also adopted the RAB roll-forward handbook, and applicable provisions of the position paper. The reset application for the approval of the ARR and the PIS will now include the proposal for the first regulatory year translation of the MAP into distribution rates. And all PDUs or private distribution utilities will begin with their first regulatory period under the RRDWR. So it's not any more fit regulatory period for Meralco. So under Group A, our MERALCO, CEPALCO, DECORP, and Cotabato Light, and the first regulatory period under the RRDWR shall cover July 1, 2026, to June 30, 2027. We are expected to file our first RP ARR application or annual revenue requirement application by January of 2026. Next slide, please. So next is the DOE, Department Circular on the DC2025-09-0013, which is the guidelines for the prioritization in the procurement and utilization of ING or indigenous natural gas. So these took effect last September 3, and the guidelines on prioritization will apply only to procurement and utilization of ING over imported LNG. And this will not apply to the prioritization of electricity produced from ING over other conventional energy sources such as coal. This will be covered by a separate guidelines. As a guiding principle in the circular, ING shall be prioritized to help attain energy security without impairment of contracts. So the policy applies to new ING volumes so that all existing arrangements under the current gas sales and purchase agreements and the PPA will not be affected slightly. The all users of natural gas shall first utilize available quantities of ING. So today, this is only fresh gas. Natural gas users have the option to temporarily purchase LNG in lieu of ING for a period not more than three consecutive months, subject to any contractual obligations under the respective GSPAs, and in the end, ING price is higher than the 6-month weighted average of the landed cost of LNG purchase from the spot market, including all taxes and regasification costs. So the DOE will evaluate and review this purchase with due regard to the government share in the production of the ING. And subject to the rules that will be promulgated by the DOE on prioritization of electricity from ING, and ING supplier shall offer its gas at a uniform price to all qualified gas customers. Upon acceptance, the available gas shall be allocated on a pro rata basis according to the respective power generation capacities of purchasing customers. Next slide, please. So as you may be aware, we have extended the power purchase agreement with FGPC Santa Rita plant. So the original PPA has a 25-year term beginning August 17, 2000, or until August 17, 2025. This was subsequently extended by the parties by reason of an event, of course, materials provided in the PPA, and the extension was until August 28, 2025. After August 28, there was another extension, and this was the interim extension by mutual agreement of the parties again as provided for under the PPA, and the extension was for 5 months from August 29 to January 31, 2026. So the parties commence the implementation of this interim extension on the basis of the ERC order dated August 27, which approved the interim extension condition on the dispatch of FGPC Santa Rita plant at its minimum level only and the pass-through rate to Meralco for fixed, which shall be the previously approved rates equivalent to or computed at 83% plant capacity factor. However, given the different interpretation by First Gas and Meralco, Meralco filed a very urgent motion for a consideration seeking confirmation that given this batch of plant is limited to minimum level only equivalent to 644 megawatt, then it follows the MEQ under the Meralco PPA, First Gas PPA is also reduced from energy equivalent to 83% plant capacity factor to the Pmin of 644 megawatts for all hours. ERC promulgated the Clarificatory Order, last September 10, confirming that Meralco's -- that the MEQ is reduced to premium of 644 megawatt for all hours or actual dispatch, whichever is slower, and the pass-through rates shall continue to be computed at 83%. And the fixed fees accordingly shall be proportionately reduced based on the actual dispatch of the plant capped at Pmin of 644 megawatt. Next slide. So we received several orders from the ERC granting interim relief to implement our baseload PSAs with GNPD and MPCL for 100-megawatt and 500 megawatt, respectively for GNPD. The equivalent rate is about 491 headline and 490 LCOE, whereas for Masinloc is 4.85 headline and 4.8675 LCOE, the term is 15 years at 100% availability. Next slide. We also received the ERC decision approving the Mid-Merit PSA with GNPD for 400 megawatts and equivalent rate is 6.733, headline and 6.8586 LCOE rate. Again, the term is 15 years, and availability is 100%. Next slide. We received also the ERC decision, approving the renewable energy Mid-Merit PCAs of Meralco, with San Roque Hydropower, Inc. and Gigasol3. So San Roque is a hydro power plant, and Gigasol is for solar with battery, and the rate are shown on the screen at PHP 7.1/kWh for San Roque and PHP 8.18/kWh for Gigasol, with the line rental capped at 15% Roque. And the line rental for Gigasol is borne by you. Again, the availability is 100% with no outage allowance. That's it. Thank you very much.
Paul Jayson Ramos: Thank you, Valles, FOG, FJS and JRBV. We now proceed with the highlights from the Power Generation to be presented by Emmanuel Rubio, president of MGen.
Emmanuel Rubio: Thank you, P.J. I'll begin my report with a top priority across all sites, health and safety. We are proud to share that we maintained a safe working environment with over 65 million safe man-hours, both for employees and contractors. While we recorded zero lost time accidents and zero fatality, we had 13 first aid cases and 5 recordable cases, all of which were immediately addressed on site. These cases remind us that safety is a continuing responsibility, and we will keep reinforcing our systems and culture to ensure that every member of our organization works and returns home safely each day. As of end September, the overall MGen Thermal Group delivered 6,912 gigawatt hours of energy, marking a 2% increase driven by high plant availability and stable operations. Energy delivered from San Buenaventura Power grew by 7% with 2,664 gigawatt hours, while Global Business Power or what's now MThermal recorded 4,248 gigawatt hours. MThermal, our coal plants continues to be a key contributor to grid stability, providing significant capacity for regulating and contingency reserves in the Visayas. MGen's liquefied natural gas investment to Chromite Gas Holdings delivered 8,467 gigawatt hours, while Singapore-based PacificLight Power Private Limited delivered 4,290 gigawatt hours. Lastly, MGen's Renewable Energy Inc., formerly MGreen, and what you will call moving forward, MGen Renewables, delivered 557-gigawatt hours, 15% more from a year ago driven by new operations -- new capacity from our new operations of 19.8 megawatts and 52.7 megawatts -- megawatt plants in Bongabon, Nueva Ecija and Cordon, Isabela, respectively, to service [ JF2 ]. Overall, MGen delivered a total of 2,226 gigawatt hours of energy in the first nine months of 2025, a remarkable 75% increase compared to the same period last year. And this significant growth was driven by the added capacity from Chromite Gas Holdings, improved dispatch across our plants and consistently high plant availability and, of course, the identification of our teams to operate these plants effectively. So following these strong results are now focused on our growth actions. Joining us recently are Felino Bernardo and Arnel Santos, two of our new leaders for MGen Thermal. Together, the leadership will help ensure that MGen, the main steadfast in its mission of powering a better tomorrow. Another key development for MGen Thermal this quarter is the signing of the EPC contract for Toledo Battery Energy Storage Systems project in Toledo, Cebu, a partnership with CATL and SUMEC, Complete Equipment and Engineering Company. CATL is a global leader of new energy innovative technologies, while SUMEC is a leading global engineering solutions provider. The first phase of the project is targeted to deliver an initial 25-megawatt hour by Q2 2026, with a total capacity of 47-megawatt hours, providing a reliable and balanced power delivery across the Visayas grid. The remaining capacity is expected to be completed in 2027, subject to regulatory grievances. And this battery will be participating in the [ coptimize ] market to provide both regulating up and regulating down reserves. On the more recent news, just this October, PacificLight Power has already selected a consortium of Mitsubishi Power and Jurong Engineering limited, JEL as the engineering, procurement and construction contractor for its upcoming combined cycle gas turbine project in Singapore, a 670-megawatt project in Jurong Island. The new CCGT power plant will deploy Mitsubishi state-of-the-art H-class gas turbine with hydrogen co-firing potential, as the power sector works towards net zero carbon emissions, a key focus of the Singapore Energy Management Authority. This gas turbine is recognized as the world's most efficient large frame gas turbine model with more than 64% combined cycle efficiency improving reliability through 3 million operational man hours -- operational hours across the globe. On the renewables front, construction progress of the MTerra Solar project continues with ongoing construction activities, including grid interconnection and land acquisition, conversion and reclassification. And as of October 15, Phase 1's overall progress stands at 65%. On the more recent news, just this October, we made agreements on the EPC works for the South block of the project with Gedi Construction Development Corporation, China Energy International Group Company Limited and Energy China Engineering Group Guangdong Electric Power Design Institute Company Limited to be the EPC for that base. Following the magnitude 6.9 earthquake that struck Northern Cebu last September 30, MGen's Thermal plant in Cebu, Cebu Energy Development Corp. or CEDC and Toledo Power Company, TPC, tripped for few hours, but went back online -- went back online in the same day. And on October 1, just shortly after all the checks, these units went back servicing the grid. MGen through CEDC and TPC has already mobilized PHP 1.3 million worth of relief goods to support families affected by the earthquakes, particularly in Northern Cebu, distributing almost 2,000 food packs and essential supplies like rice, canned goods and 20-liter water containers in coordination with local authorities and partner communities. And beyond the relief operations, our Head Office here in Pasig, is also extending further assistance to families in need. Altogether, one MGen's efforts are set to reach 2,230 families in Cebu. And the safety remains our top priority. We will -- we are actually assessing the overall structural integrity of the plants and carry out necessary repairs, if needed. And so far, it's looking well as far as the operating units are concerned. MGen's strong performance in the first nine months of 2025 demonstrates how far we've come in strengthening our portfolio from thermal to LNG, to renewables and non-storage. We continue to execute our growth projects with discipline and purpose while maintaining a steadfast commitment into health, safety and inclusive community development. And as we move towards the close of the year, we remain focused on delivering energy that powers progress and on building an energy future that is secure, reliable and sustainable. So together, we power a better tomorrow for the region and all the communities that we serve. [Foreign Language]
Paul Jayson Ramos: Thank you, EVR. We now move forward and welcome Mr. Raymond Ravelo to discuss Meralco's sustainability initiatives.
Raymond B. Ravelo: Thank you, P.J. Good afternoon, everyone. I'll be providing a brief update on the sustainability front, in particular, I'll be covering updates on our recently held leader summit on One Meralco's long-term sustainability strategy, as well as updates on our ESG ratings and recognitions. So first, last September 19, we convened more than 600 members of our senior and middle management core at the Meralco theater to unveil our long-term sustainability strategy, a distinctive road map for a just orderly and affordable transition to clean energy spanning three decades from 2021 to 2050. The event was headlined by Chairman MVP and Department of Energy Secretary, Sharon Garin, reflecting strong alignment between our corporate directions and the government's energy priorities. Throughout the event, the message was very clear. One Meralco's long-term sustainability strategy strikes a deliberate balance between science and practicality, growth and responsibility, innovation and inclusion. At its core, our energy transition is geared not only towards reducing emissions, but also uplift in communities and empowering people. With your indulgence, please allow me to share a very short video on what transpired during horizons. [Presentation]
Raymond B. Ravelo: Strong ESG performance also continues to anchor our sustainability journey. In particular, Meralco demonstrated robust environmental, social and governance performance as evidenced by our continued inclusion in the FTSE4Good Index, and this is for the fifth consecutive year. In addition, we advanced our leadership in diversity and inclusion with an improved Bloomberg Gender Equality score, rising to 4.6 in 2025 from 4.1 in 2024. If you could click the next button, please. This was driven by our commitment and transparency to close the gender gap as evidenced in part by greater representation of women in our management core. Moving on, we're very pleased to report that at the 2025 International Business Awards, One Meralco earned an all-time best 15 Stevies, surpassing our previous record of 11 awards in 2019. We were recognized with 5 golds, 8 silvers and 2 bronzes highlighting our achievements in driving sustainability, innovation and social impact. Of these 15 Stevies awards, 10 were ESG-related. Next, One Meralco likewise one in the 2025 Asia-Pacific Stevie awards garnering a total of 11 recognitions, 9 of which were sustainability related. These recognitions, these accolades further affirm our excellence in sustainability and strategic communications. Next, last month, Meralco was also named a Sustainability Champion by the Manila Times, recognizing the alignment between our sustainability agenda and the United Nations Sustainable Development goals. Moreover, we were featured in the Manila Times' inaugural ESG publication citing how Meralco is leading by example, from transforming how energy is generated and distributed to empowering underserved communities. Lastly, just last Friday, October 24, our 2024 One Meralco integrated report, our very first IR earned top honors at the 2025 Asia Integrated Reporting Awards, or AIRA, securing the Platinum Award for Asia's best integrated report under the first-time category. AIRA is considered the most prestigious recognition for excellence in sustainability and corporate reporting, covering Asia, the Pacific and the Middle East, honoring companies that demonstrate long-term value creation, integrated thinking and transparency. Thank you very much.
Paul Jayson Ramos: Thank you, Raymond. We will now open the floor for questions from analysts and investors. [Operator Instructions] We actually have several questions already on hand. From Klyne Resullar of Regis. Could you please confirm whether the loan news for Chromite acquisition has been pushed down to the operating unit in third quarter?
Betty Siy-Yap: [indiscernible]
Paul Jayson Ramos: Thank you, Ms. Betty. We have a question on site.
Germaine Guinto: I'm Germaine from Maybank. I have a question, I guess, first for Mr. Ferdinand. So is there any updated guidance on DU volume growth following observed sluggish demand? Is a rebound expected or should we expect current levels of growth to continue?
Ferdinand Geluz: Yes. I think as far as the guide is concerned, with -- well with the onset of the, technically, La Nina, I think we see the same trend for Q4. So we'll probably end up around 0.5%, 2.8% negative. So a bit on the negative side, but not far from what we have last year. So -- well, at this on the energization side, I think we were ramping up. And in terms of organic, I think by next year as weather patterns normalizes and maybe occupancy picks up, so we can get some sort of uplift on what we lost this year in terms of our organic contraction.
Germaine Guinto: And following on that, maybe for Ms. Betty, what CCNI split of distribution and generation does Meralco expect by year-end and overall in the long term, if possible?
Betty Siy-Yap: Well, I guess, [ moreover ] where we are right now [indiscernible]...
Germaine Guinto: And then sorry to ask Ms. Betty. Is there -- can we have more color also on the mentioned regulatory reset fee adjustments? Is there an exact cost or timeline for these adjustments?
Betty Siy-Yap: Seeing the set cost that [indiscernible] in the last February, or the last [indiscernible]...
Germaine Guinto: And last one for me, maybe for Sir Manny. Is there progress on the upcoming projects at Terra Solar that has, I believe, a contract right, for 2026 around 850 megawatts. Are things on track? Or are we seeing the days and due to what, if ever?
Emmanuel Rubio: Well, the project today is 65% completed now. And we have experienced challenges on site, including the weather and then some of the lands we have to acquire and this require some realignment of the feeder lines. But key components along the project's typical path like transmission towers has been secured, 100% of the transmission towers, 89 out of 89. Corridor access has been acquired, 82% and connecting land for Phase 1 are already being secured and is progressing well. We still believe that we are within the allowed timeline provided by the PSA with Meralco.
Paul Jayson Ramos: Thank you for that. We're just seeing some online chats saying that Ms. Betty's response earlier was not heard. But just going back to Klyne Resullar's message, could you please confirm whether the loan news for the Chromite acquisition has been pushed down to the operating unit in the third quarter? Ms. Betty mentioned earlier that not yet, we are working on it.
Betty Siy-Yap: [indiscernible]
Paul Jayson Ramos: Thank you, Ms. Betty. In line with Germaine's question earlier in terms of the contribution mix, to what extent is the strong LNG contribution exposed to volatility in Malampaya and Global LNG prices? And how are you managing margin stability? A question from [indiscernible].
Emmanuel Rubio: Well, the pricing for LNG PH for excellent and [indiscernible], the fuel is passed through. So as far as the generator is concerned, that volatility is actually managed on the generator side. We are charging capacity. The two plants are also contracted fully with Meralco. What we are also working on now, just to, again, to address the fuel volatility is -- they're very important that frame is going to start work on the pipeline that connects Ilijan SPPC to the Malampaya pipeline in Tabangao. There's tight peaking. I think that the maintenance starting December 1 and hopefully ready to accept gas from Malampaya -- if gas can be actually supplied by Malampaya post December 16, 2025.
Paul Jayson Ramos: Thank you, EVR. We have a question on site.
Peter Garnace: Peter Garnace from Unicapital Securities. Congrats on the results. I have three questions. I'll go through them one by one. First is on the provision write-backs. Are the consecutive quarters of provision write-backs and indication of increased confidence of rate reset by July next year. Will this trend continue? Or would it be safe to assume a similar scale of write-backs moving forward? This is for my first question. Sorry, I'll just repeat it. Are the consecutive quarters of provision write-backs an indication of increased confidence of a rate reset by July next year. Will this trend continue? Or would it be safe to assume a similar scale of write-backs moving forward?
Betty Siy-Yap: The write backs right now are all related to our settlement of real property tax, and it has nothing to do with the reset. Settle on property tax for our poles, wires, et cetera, just been a case that was decided by the Supreme Court back in 2015, if I'm not mistaken. So there are several LGUs that we need to settle and dispenses of different types of assets.
Peter Garnace: Got it. Thanks, Ms. Betty. I think my second question is still address to Ms. Betty. Can you provide a breakdown on the difference between the core net income and the reported net income?
Betty Siy-Yap: Okay. So I did mentioned earlier that it pertains to the day 1 gain adjustment, that's about PHP 4 million. Foreign exchange loss of close to PHP 500 million. And then the balance should be gained on sale of asset of MGen, and that should be a total of about PHP 350 million, PHP 360 million.
Peter Garnace: And also to my last question, I think I'll address it Sir Manny Rubio. Can you provide an update on MGen Renewables or MGreen's exchangeable note agreement with Solar Philippines, if I'm not mistaken, both of the exchangeable agreements have maturity in September of this year. Any update if the loan was -- or will be repaid through cash or through shares?
Emmanuel Rubio: Exchangeable notes with Solar Philippines Power Project Holdings to buy shares in SPNEC. The exchange of shares were the loan extended by MGen renewals -- was to be affected after the shares will release on the lockup after they got listed. This occurred in September 2, 2025. So prior to effecting the block sale, MGen renewables was asked if SP can first transfer to the owner [ Lean ] before transferring to MGen Renewables. The sustainability is part of the exchangeable note agreement. So the transfer to Mr. Leviste was implemented already and transferred to MGen Renewables has also been accepted by the PSE and settlement is due today and will be reflected tomorrow.
Paul Jayson Ramos: Thank you, EVR. We have a set of questions here for -- still on MGen -- MTerra Solar in specific for a set of questions from Nicky Franco of Abacus Securities. Is there a firm date or a window for declaring commercial operations? Kindly confirm that the capacity factor for a solar panels use is, is it 18% or 20%? Third question is can you give EBITDA margin guidance? And fourth one is, what is the average cost of debt?
Emmanuel Rubio: The contract allows us to declare COD up to August 1, 2026. That's for Phase 1. And for Phase 2, February 2027. On the capacity factor, Philippines is, because of the regions, anywhere between 17% to 18%. No, I think that would be a number that we're looking for the PV panels of MTerra Solar.
Paul Jayson Ramos: The third question is, can you give EBITDA margin guidance?
Emmanuel Rubio: We're expecting EBITDA to be north of 80%.
Paul Jayson Ramos: And last one, what is the average cost of debt?
Emmanuel Rubio: Average cost of debt would be around 7%.
Paul Jayson Ramos: Thank you, EVR. A question related to battery energy storage. What kind of scale in terms of megawatt is the company looking to build up for this and what type will be used?
Emmanuel Rubio: Well, it's not about just keep on building on batteries. I think what we're looking at when we build batteries is where are they needed and what will be the purpose. For the moment -- at the moment, we are looking at building one in Cebu because its needed. We're talking to our partners in Mindanao, where energy storage is also leading. However, when the case is actually you built, we have extra land in Terra Solar, and if we can actually justify putting additional batteries outside of the Terra Solar project, and we can justify it through an arbitrage, then we will do the same. But it has to serve a purpose. It's not just a matter of building batteries for building capacity's sake.
Paul Jayson Ramos: Thank you, EVR. Just related to MTerra Solar still. We have a question from Cristina Ulang of First Metro. Good afternoon. Appreciate your information guidance for equity valuation purposes on selling prices for Terra Solar. WESM based or mid-merit on the higher end, like PHP 7 for instance, and load factor, say, 30%.
Emmanuel Rubio: Well, Terra Solar's 53% capacity factor to be delivered to Meralco. Ronald just presented earlier, the resource of the CSP is approved by ERC, 50% capacity factor ascent sold at an improved rate of 18.1819. We will be lower than that.
Paul Jayson Ramos: Thank you, EVR. We have a question on site.
Unknown Analyst: [ Martin Marty ] also from First Metro. And I wanted to direct this question. I guess it's either to Attorney Valles or Mr. Rubio. How will this prioritization of indigenous natural gas affect Chromite, I guess, at the point where gas can be delivered.
Emmanuel Rubio: As Ronald presented earlier, the prioritization of indigenous gas should not impair existing contracts or gas, right? And obviously, if indigenous gas is actually cheaper, right, we should have access because the indigenous gas spill mentioned of -- that everyone should have access. Not discriminatory access to gas, right? So at the moment, we're looking at -- we're asking the OE, but it seems that if gas, whatever gas is going to be available will be allocated based on installed capacity. So we have bigger capacity. So that's to be 55%, 45%. I think that's what we're looking at. But yes, at the end of the day, I don't think gas would be -- indigenous gas going to be cheaper, we don't even need to prioritize it. We will have access to that.
Paul Jayson Ramos: Thank you for that. Before we go onsite, we have a question online. It's a question from Jelline Gaza. Can you open the line?
Jelline Gaza: My first question is on the trending method that will be adopted in the PPR asset methodology or RAB methodology. Can you please expand on what it means and what it effectively translates to in terms of the ARR or effectively for Meralco? That's my first question.
Jose Ronald Valles: The way we understand the trending method is that it's a form of reappraisal as allowed under the EBITDA or assets that are undergoing devaluation during the RAB time. And it's trending because it's subjected to an adjustment based on recognized adjustment upward or CPI or indexation. So that's how we understand it.
Jelline Gaza: So effectively it's like a form of revaluation still?
Jose Ronald Valles: Yes, it is an evaluation because the Supreme Court decision did not say that when that -- when it avoided the replacement power costs that the revaluation or that the valuation of the asset will be based on historical growth.
Jelline Gaza: Another on the tariff determination. I recall in the last briefing you were mentioning that there's an ongoing Supreme Court file placed about questioning the applicability of the final interim rate. Are there any updates on that?
Jose Ronald Valles: Sorry, can you say that again? I did not hear that question exactly.
Jelline Gaza: The Supreme Court case filed by consumer group which questions the validity of the final interim rate.
Jose Ronald Valles: You mean the [indiscernible]...
Jelline Gaza: Yes.
Jose Ronald Valles: That has been settled by the ERC. There were three cases that were elevated to the Board by consumer groups during the court of appeals and one in the Supreme Court. And Meralco has already submitted its comments to all of these cases, and our comments are aligned with a comment submitted by the Office of the Solicitor General, representing the ERC. So consistent [ combining ] position taken by the government and Meralco in defending our decision. But we have yet to receive any further advice or notice from the ERC on the action to be taken on these cases -- from the Supreme Court or Court of Appeals, rather.
Jelline Gaza: My next question is actually a follow-up on the prioritization of the local indigenous gas. Do you think that this might have any impact on Meralco as a distributor, your plans for future PSA auctions?
Jose Ronald Valles: Well, right now, the guidelines speak only of prioritization of ING over LNG. So it does not yet cover prioritization of ING over coal or other conventional sources. So although I think that the Department of Energy is going to issue a separate guidelines on that. Based on my reading of the circular, the applicable CSP or guidelines for the procurement process is still the same CSP that the DoD has approved prior to the issuance of these guidelines.
Jelline Gaza: So it's a matter of just waiting for the order to come out? Because if I recall, when we look at the law or initial IRR, there's a mandatory percentage procurement by distribution utilities for power plants using local gas, right? Is that understanding correct?
Jose Ronald Valles: Yes. But there is no implementing guidelines yet on the mandatory procurement of ING over any other sources, if you will. So we are awaiting further advice or issuance from the DOE in that respect.
Jelline Gaza: Okay. So it's more like waiting for it. Understood. And lastly, on the number for Ms. Betty, would you be able to disclose the net income contribution to Meralco of LNG PH after contributing or considering the PPA adjustment?
Betty Siy-Yap: Well, I should have the number for LNG PH. Can I get back to you? I have the number, I think -- PHP 5 billion -- that's PHP 5 billion per LNG PH.
Jelline Gaza: After PPA and before net interest?
Betty Siy-Yap: Yes.
Paul Jayson Ramos: Thank you, Jelline. We have a question on site.
Unknown Analyst: [indiscernible] from Security Bank. My first question would be directed to Sir Manny Rubio. In terms of like the timeline for MGreen's IPO by SPNEC, any target on the target transfer of assets? And if there are any changes on the earnings mix, should this materialize? That's my first question.
Emmanuel Rubio: We don't get any -- we don't have any timeline yet -- time target on that one, because it's just an option that we're considering. If ever, we'll do that once Terra Solar is fully delivered and we'll merge the data assets of MGreen and SPNEC. But today we're still planning for the milestones to achieve -- pursue that if we take that option.
Unknown Analyst: All right. And then my next question would be on the current plans for the A1E, Atimonan One -- for Atimonan One?
Emmanuel Rubio: We have started project development of Atimonan One. We have issued -- we put up the bids for the EPC. We have received three offers. So we are in a position to participate in a CSP that will come out probably by around -- anytime between December and January, whether that's to Meralco or baseload capacity auction by the DOE, by then we'll be ready to participate -- 1,200 megawatt capacity.
Unknown Analyst: All right. And then my last question for now would be on the spot market trends. So currently, the year-to-date spot average is now below PHP 5. And looking at the recent PSA contract is now also below PHP 5 per base load. So I just wanted to know your outlook or perspective on the spot prices moving forward and for your future contracts. And just a follow-up on that. What's the current contract mix for Terra Solar and your spot market exposure, if there's any.
Emmanuel Rubio: Yes. For the spot market, our view is that it's going to remain low given that new capacity are coming in, JF2 capacities. There are four plans that came in, which pushes the merit or the dispatch to the right side. And then, of course, as we continue to construct and commission Terra Solar, that capacity will also be coming in 2026. If there will be any excess apart from charging the batteries of Terra Solar, then probably an option if the prices in spot markets are low, we can sell it to our [ rest ] and sell it to the retail electricity market.
Paul Jayson Ramos: Thank you, EVR. We have an online question from Klyne Resullar of Regis regarding RES. Why RES volumes up 8%, but EBITDA and income contributions from RES and service subsidiaries dropped?
Betty Siy-Yap: Okay. The reason why the EBITDA decreased despite volume will be mainly because last year, we had the benefit of trading gains when spot prices were higher. So that amount has actually decreased the trading gains that we have this year compared with last year. If I recall correctly, the trading gain last year was about -- over closer to PHP 3 billion, I think PHP 2.7 billion compared with what we have this year, which is only less than PHP 300 million. So if we look at the volumes, these are actually coming from customer contracts where the margins are not as big as if it were a trading margin.
Paul Jayson Ramos: Thank you, Ms. Betty. Klyne has a follow-up question. Could you elaborate on the factors behind the rise in distribution profits even as sales volumes dipped?
Betty Siy-Yap: Okay. So for -- on the distribution side, well, the volume turned over. We -- to a certain extent, though, the unit cost and also -- the other point was as it relates to the reversal of provisions related to settlement of tax cases more of real property tax. As we conclude on settlement for taxes, as I mentioned earlier, this pertains to real property tax on poles and wires. This is based on the Supreme Court decision back in 2015. And the settlement is that Meralco itself. So we have to go to each of the LGUs. So it takes a while. So we continue to settle that one.
Paul Jayson Ramos: Thank you, Ms. Betty. The virtual hand of Jelline Gaza was up earlier. Can we check with her again? Jelline?
Jelline Gaza: Okay. Sure. And maybe as a view on the demand. Just curious to know about Meralco's view on rooftop solar and net metering. Do you think that this might be a potential driver of how volumes has been weak? And if you have any figures on the extent of net metering or your own internal review of how much this has been even for those that are not connected to the grid? That would be extremely helpful.
Ferdinand Geluz: Yes, Jelline, so I have some figures now. Well, for estimated solar losses, so we estimate our solar loss to date at around 427 gigawatt hours. So this is up around 74 gigawatt hours compared to 353 gigawatt hours of losses that we had last year. And with some sort of project, the incremental loss to reach around 100 gigawatt hours. So that's year-on-year 2025 versus 2024.
Jelline Gaza: So incremental by 100 gigawatt hours for the full year and 74 gigawatt increase in loss was for the 9 months.
Ferdinand Geluz: Yes, for the 9 -- first -- in terms of total, it will be more or less around 600 gigawatt hours by end of the year. So the increment is around 100 gigawatt hours.
Jelline Gaza: 400 out of? It's just around only 1% of total demand?
Ferdinand Geluz: Yes. The incremental is around 100 gigawatt hours. But in terms of the actual loss, it's around -- it will swing around 600 to 600-plus gigawatt hours.
Paul Jayson Ramos: We have a question from Raymond Franco related to the regulatory. I believe Attorney Valles answered this earlier, but if you can elaborate further on, JRBV? What does management expect to happen with regard to the supply agreement extension with FPH or Santa Rita after January 2026?
Jose Ronald Valles: Today, the parties are discussing it, but there are no firm commitment or decision yet on whether there will be another extension via January 31, 2026.
Paul Jayson Ramos: We don't have questions on site anymore. Peter?
Unknown Analyst: [indiscernible]. Just one last question from me. I think I'll address it to Ms. Betty. With regard to the peso depreciation, the peso is now back to PHP 58.9, almost PHP 59 versus the dollar. Would you be able to quantify for us the impact of every peso depreciation to Meralco's operations?
Betty Siy-Yap: First, we don't have foreign currency-denominated debt. We do have a little of the foreign currency denominated trade liabilities, but we plan all of this. We factor it in our daily requirements for foreign currency, right? On the purchased power side, we do a daily purchase to manage the impact of ForEx to purchase power costs, which is built to the consumer, okay? And the purchase power costs -- so now we have the currency already, right? When we settle it, that's the same rate that we used to settle. So there should be not much impact to us for that one, except with respect to the dollar liabilities, which are related to trade.
Paul Jayson Ramos: Thank you, Ms. Betty. That's the last set of questions we have. In mindful of the time, thank you, everyone, for attending our briefing this time. We look forward to having you in our full year briefing come February 2026.